Operator: Good morning, ladies and gentlemen and welcome to the TUI AG's Conference Call regarding the Full Year 2021 and the First Half Year Results. At this time, all participants have been placed on a listen-only. The floor will be open for questions following the presentation. Let me now turn the floor over to your host Mr. Friedrich Joussen and Mr. Sebastian Ebel. Please go ahead.
Friedrich Joussen: Thanks a lot. Hello everybody and good morning. Yesm we're not all in the same room. So -- and therefore, I think I have to do a little bit of advice which slides I'm on. So -- and it's great to have you all here and to talk about H1 And what I would like to do is -- not only H1, but also the year because I think recapping off what we have been doing over the last year and where the company stands is equally important, right? But you will hear from Sebastian particularly on the numbers as well. And then I will focus consequentially on -- when you think about managing the company through the crisis so how will the new TUI look like and how have we used the crisis in order to be more agile and digital and strong after the crisis. So, let's go to page number four which is saying we are one year into pandemic it was a year of crisis management. Now, that is something which true is good at and we reduced cash fixed cost by 70% within a couple of weeks. Reduced our cash fixed cost to €250 million to €300 million. That is the basis which actually was -- is needed in order to keep the lights on. Now, we also secured liquidity of €4.8 million. And by the way this is also the level we have seen now in Q1. Adding to the liquidity or subtracting from the liquidities of course working capital and now actually we expect and we see more bookings coming in so the cash burn will actually go down over time. Now, securing liquidity 4.8%, this is of course more than 12 times the monthly cash fixed cost. It's round about €2 billion more and that is actually working capital. And the interesting thing is that the 2.5 or three actually is there to stay. This is additional debt burden but the working capital is actually coming back, right? So, as soon as the business comes back and you will see the very promising trends in our markets the working capital will flow back into the system. Then, of course, we have two challenges. The first one is to serve the additional interest. Let's say the additional interest is around €200 million. And the other one is of course to serve maturities and work on the maturities of our debt. And when you think about right now the efficiency program that we have promised to you is more than €400 million that should be serving very well the additional interest burden and we are now on a very good path to achieve our targets. Asset-right strategy sometimes is talked about that we do that because of liquidity. This is absolutely not the case. We started with the asset-right strategy way before the crisis. You remember the Hapag-Lloyd's inclusion into TUI cruises which puts the Hapag-Lloyd assets off balance sheet. You remember the launch of -- the first launch of TUI Blue now more than 100 hotels and will be accelerated over the next years to several hundred hotels at least. This is all done. The growth is done and can only be done if you don't invest. We should never invest in our self. So, of course, it serves also liquidity, but the main reason like Hapag-Lloyd was done before the crisis is actually acceleration of growth. Digital, I will come to that not focus in here. First, refinancing successful particularly I think I want to highlight the bond a coupon of 5%. The bond is trading now at 9% up or so. It was double over signs. So, I think it's -- it was more demand than supply. So, I think that shows that we are back in the markets and we have more access into the financial markets. Yes and the recovery. €1.7 billion I will talk about in a minute €1.7 billion of liquidity. So, then maybe we go to yes to the next slide, so slide number six. And I will make the next ones quite briefly. I think we had 2.7 million guests since June. And in all kinds of different -- in the different segments we have these guests, right? And I think important we didn't actually close the company. And right now I think that's very important because if you want to have a proper restart, if you start from zero, then the restart is difficult. If the engines are running you kick down the gas and paddle and there you go. So, we will be the first operator to restart the business and is right now the first operator to restart the business properly, when the restrictions are lifted. Next slide. Customers appreciated the holidays. So the 2.7 million customers appreciated the holidays and we adapted the holidays through their needs. The trust need the service quality need, but also flexibility and of course health and safety. I mean, people wanted to do health and safety holidays, and we adapted our product portfolio. And when you look at the next slide, you'll see that customers could combine, say holidays with positive perception, right? The customer satisfaction score is 8.6 in the score of one to 10. So this is very good. People are also confident to travel. And I think that's a good information. Now let's go to page number 10. I think this slide says, we have more or less protocols in place like we had for safety also last year. And these protocols produced good results. I mean, on the right column, you see that our incidence rate was way below one, so not 100 to 100,000 but below one. So this I think was good. On top of that, we see right now, very good vaccination levels and good and more affordable testing regimes. And when you look on page number 11, you see what I mean. Sentiment is building. And you see right now that for example, the preconditions or vaccination and incidents are very good. You see the UK world champion and vaccination very low incidence rate as a consequence of it. The biggest movements right now are done in Germany. So, every day sometimes more than one million customers are vaccinated. This slide, I think is three days all we talk about an incidence rate of 1-5-3. And this morning it was 1-0-6. So, it's going down significantly with the other countries as well. So, people are more vaccinated in light of that sustainable reduction of incidence rates. So this is what the blue bars are saying. What the base bars are saying in destination, we see similar things. Cyprus Balearics Canaries Portugal. Okay. The biggest ones are of course Balearics Canaries Portugal and Greek Islands very low incidence rates, good vaccination levels, and these four including over length account already to 60% of our summer program. So when you ask the question, how safe or how mature or how clear are we that the summer program will happen, we are very clear because the incidents are so low. It's not a behavior result that the incidents are low. It's the vaccination results that the incidents are so low. So, I think this is a very good message and I believe an enormous indication that actually the vacations in summer we will have. Now, I think, when I go now to page number 14 and this is in between you'll find the reopening time lines and you see all of them on page number 13, you see the reopening timelines all of them are something May or June. As long as mid of July, yes, is actually the one, which I would say for -- definitely for the UK. As long as the mid or end of July is open, we are catching the summer holidays in schools and that is I think there. So having schedules which are till to May do the trick right? That's what we want to say. So, go to page number 14, you still see very good booking levels, €2.6 million. This is a little bit lower than the last time we saw because, of course, now we had April particularly, where actually summer holidays particularly became not possible. So we had to emend bookings. And therefore the levels are a little bit lower. But this is of course now changing and I come to that in a minute. But particularly promising in summer '22, we have three times, four times the level of bookings already in the systems, which we would expect normally. And when you think right now, that the average sales price is 22% up, because of mix and because of buying up more five-star than four-star longer vacation durations, I think this is a very good news. Now, I think the most interesting slide right now comes now because, it shows what happened from April 1 to May 7, in particularly Germany and Belgium. Yes? In Germany, up 288%; in Belgium up 249%. In Germany we had – last weekend, we were only down 30% from summer 2019 levels. So the average in our bookings is even down more than 70%. So you see now actually the pent-up demand kicking in and overall plus 258% – so 256%. And this 256% is even almost except out – almost leaving UK aside because in UK interestingly, enough you have low incident – you have low incidence rate high vaccination rate but you have only Portugal open as green, right? And I think interesting here and I would say that when you just – when you look at Portugal that's the next slide then actually Portugal was opened on Friday. The – we had an immediate jump of plus 182%. So weekend over weekend an enormous demand. So I think that's very good. And now I have a couple of anecdotal evidences, before I hand over to Sebastian I mean two in Netherlands, I didn't talk about Netherlands. I talked about Germany, I talked about UK, I've talked about Belgium. But Netherlands we had and – we had a trial, the 180 guests early may to Gran Canaria. That was a trial we agreed with the government. And we had over 60,000 applicants. I mean, that's the kind of things you see and I leave the anecdotes for your digestion and you have a lot. Maybe on the statistical and more relevant basis is 20 – on Page number 20. 70% of consumers have holiday intention or have booked holidays. And this is actually more or less – more or less what we would see in the benchmark in 2019 as well. So 81 in 2019 and 70, right now. So the demand and sentiment is actually intact. The desire to travel is absolutely there. And also maybe on the note the savings ratios are significantly up in all of the European countries. So the money is there, the demand is there. Now we need to open the borders. And what you can see is in Germany, the borders in April started to open. When you are vaccinated, you don't need to test or currently and when you come back. I mean – and then the bookings go up threefold. I mean this is I think a very, very good sign. And this even leaves Turkey out. I mean Turkey from Germany, which is also 15% or so if not even there, right? So we are just talking traditional destinations. And I think at least in April, most of the time, Canaries was still risk country. So there can be seen for non-vaccinated coming back. So I think you see demand I think every news, every sentiment right now is pointing in the right direction. So I'm very confident that we see a good summer. And with that, I would like to hand over to Sebastian and I will talk about next priorities. So the question about, how did we use the time of the crisis to transform the company and how did the company look after the crisis in a minute. But Sebastian, first to you. 
Sebastian Ebel: Many thanks, Fritz and a very warm welcome also from my side. As Fritz said, very exciting times after a long and depressive winter and tourism, we feel this spring and we do see positive changes and momentum every day also in numbers. Let me guide you through the following pages, through the H1 results of the financial year 2021. I would like to start – Page number 19. I would like to start with our achievements during the first six months, regarding our financial priorities. You do probably well remember the three buckets we introduced in December. First, manage liquidity; second, drive revenue and earnings; and third, optimize financing. Regarding our liquidity, we successfully completed third support package in January including a €500 million of capital increase. Additionally, we issued €400 million of convertible bond in April based on the new AGM authorizations, which we received on 25th of March and I will come to the details of the convertible on my next slide. And last but not least, our H1 results were in line and are in line with expectations. We kept cash consumption at a minimum and recorded positive net investments thus being on track to deliver on our full year assumptions of a positive inflow of up to €250 million. As Fritz already mentioned, we use every opportunity to drive revenue and earnings and the immediate jump in bookings when restrictions are eased. Like when the German government took Majorca from the red list demonstrates once more that pent-up demand is there. We are convinced and experience that people want to travel and we are very well-positioned, as a group as we can restart our business within days. We also aggressively executed on our global realignment program and expect to deliver almost 50% of the total cost cutting volume of €400 million per annum already by the end of this financial year. Coming to the third bucket, we received shareholder approval for capital authorizations at the AGM in March, with a total share volume of around 640 million shares. In just two weeks after the approval, through our shareholders, we used the first window of opportunity with a successful placement of €400 million convertible bonds. This being the, first refinancing step in a still challenging market environment. Moving, on to some key facts on the convertible bond the full documentation being available on our website, slide 20. For the issue, we utilized 6.8% of the new conditional capital with a total volume of 10%, which corresponds to around €75 million of underlying shares. The senior unsecured convertible bonds are due in 2028, have a denomination of €100,000 per bond and pay a coupon of 5% per annum payable semi-annually. Investors also have the possibility to convert the bonds into new ordinary registered shares. The conversion price was set at €5.4 representing a conversion premium of 25% above the reference share price. The issue was two times oversubscribed and is a proof that capital markets remain confident in TUI's strategy and business model and support our journey going forward. We all expect a major recovery of the tourism industry and a strong transformed and lean TUI post-pandemic. With a successful offering TUI plans to start the refinancing of loans, from the COVID-19 stabilization packages, bolstering our current liquidity headroom. The bond currently trades at around €115 million. Let me now come to our H1 results, slide 21. We generated around €700 million of revenue in the first six months, a decrease of almost 90%, highlighting the comprehensive travel restriction during winter season, forcing the cancellation of the majority of our winter program. H1 underlying EBIT loss of the €1.3 billion was better than expected, demonstrating our continued strict cost management in times of the pandemic. 684,000 customers enjoyed their holidays with us, this being a reduction of 89%, a decline in line with revenue. Pro forma cash and available facilities, including the convertible bonds amounted to €1.7 billion as at May 7, the more than comfortable position till the expected resumption of travel in line with the communicated cash assumption. Coming to the TUI income statement on the page 22, here you can see that underlying EBITDA stood at minus €856 million, while underlying EBITDA came in at €1.3 billion, demonstrating the strong discipline on costs, while using every operational opportunity to offer holidays to those customers who wanting to travel. Thus we managed to reduce our average monthly EBITDA loss to roughly €140 million and €220 million on EBITDA level, being better on cost compared to quarter 1. Adjustment of, €10 million were driven by a €50 million provision release for lower restructuring requirements outweighing costs to-date, from the global realignment program. Following this positive development we also now have adjusted our assumption for full year 2021 to €100 million to €150 million, formerly being €180 million to €200 million. The increase in net interest was driven predominantly by the greater revolver, drawings and the phasing impact between Q1 and Q2, in the context of the bond modification this being only a valuation effect and no cash impact. So we booked again in Q1, which was reversed in Q2. Let me remind you here that the overall, assumption for the interest result are unchanged for fiscal year 2021 of between €400 million to €450 million. Coming to our underlying EBITDA Bridge, slide 23, the deviation of the segment results demonstrates the limited operations possible due to the COVID government imposed travel restrictions. As already mentioned we continued to focus on cost discipline as we quite successfully do, since the beginning of the crisis and are also trying to capture margins where possible. Therefore we managed to limit the average monthly EBITDA loss to €220 million in the quarter. Looking now at the development of the single segments, I want to start with hotels and resorts. 122 hotels were open, which are roughly one-third of the group hotel portfolio reflecting both, the winter seasonality and travel restrictions currently in place. Demonstrating the benefit of our diverse markets and destinations our hotel in, Greece, Miami, Mexico, Egypt, Maldives and Mainland Europe delivered reasonable levels of occupancy hosting customers from the local markets as well as from the U.S., Russia, Asia in addition to our source market customers. Overall H1 occupancy rate declined 35% to 40% across our operating portfolio. H1 average daily rates declined by 13% to €63.5. This led to an underlying EBIT which was down €247 million as we operate at limited capacity over the period as a result of travel restrictions and only partially offset by continued cost savings actions. In our cruise segment, TUI Cruises has successfully operated under pandemic conditions since July 22 being the only European cruise operator to continuously do so. We think that is a big achievement. Since December only the Canary Islands has been available as a destination. However, 1400 customers have extended their voyage onboard one and two during this time demonstrating both continued appetite for cruise holidays and high satisfaction levels of guests who have cruised under current conditions. H1 average daily rate of the operated fleet was €140 down 27% reflecting the shorter average duration and more local routes of Blue Cruises which means that you stay in the country without going to other ports. H1 occupancy of the operated fleet was 35% reflecting the overall more subdued environment for departures as a result of travel restrictions as well as adherence to COVID government safety advice capping the numbers of passengers on board. The maximum we take at the moment or up to now we have taken over 60% of the capacity. Hapag-Lloyd cruises now part of TUI Cruises operated two ships during the first quarter, the Europa 2 and the Hanseatic inspiration which offered sailings to the Baltic Sea and the Canaries. The Europa 2 continued to sail in the second quarter offering itineraries to the Canary Islands. H1 average rate for the operator fleet was €411 for Hapag-Lloyd down 33% reflecting the pricing of shorter and more local itineraries. H1 occupancy was 33% compared to 77% in the prior year. Marella Cruises remained suspended throughout the period in line with the UK governmental travel advice which our teams in preparation mode for restart towards the end of Q3. Underlying EBIT loss down to €180 million versus prior year as a result of travel restrictions including a €21 million impairment charge related to managed accounts, partially offset by cost-saving measures across the three brands. As a reminder prior year included 100% results of Hapag-Lloyd cruises which is now consolidated at equity within the TUI Cruises joint venture. Coming to amusement. 141,000 excursions and activities were sold, down 90% versus prior year reflecting the limited operations throughout the period resulting in a decline in underlying EBIT of €34 million. Online distribution was 50% increasing from 21% in H1 prior year driven by the successful integration of amusement inventory across our TUI source markets app. Now I would like to come to market and airlines. As covered already due to the extended lockdown measures across many of our key source markets operations have been highly limited for the majority of the first half year. A total of 684,000 customers departed in the first half down 89% versus prior year which around half departing in the month of October prior to the more recent restrictions. All markets experienced a strong increase in direct online distribution as retail shops remain close an effect which we expect to stay also post-crisis to a certain extent. To give you two examples online sales in the northern region amounted to 76% up to 11 percentage points year-over-year and also central region increased online sales by 15% to 37%. Underlying EBIT declined by €336 million due to the limited capacity operated over the period. Total one-offs of a positive €200 million comprised the year-on-year not repeat of €146 million of net hedge ineffectiveness €75 million for the Boeing MAX grounding, €43 million of COVID repatriation and compensation costs and €19 million impairment cost for Marella celebration. This year we recorded net positive one-offs of €10 million comprising positive hedging impact of €38 million offset by €28 million of impairments on hotels and market and airlines mainly in the retail segment. Moving over to the cash flow where we see Q2 cash flow slightly improved versus Q1, Slide 24. I would like to start right away with the working capital movement. The Q2 outflow was -- it was around €300 million mainly reflecting further settlement of outstanding supplier payments in context of agreed deferral schemes and further refunds due to cancellations which are still weighing on customers deposit. Based on the positive news regarding resumption of travel, we expect the significant turnaround in working capital towards Q4 in line with operational and booking normalization. And as I said in the beginning, we have started to see this effect since 10 days -- 14 days. Moving on to other cash items. The higher Q2 outflow is driven by the non-repeat of receivable inflow in Q1 and the non-cash effect of a positive P&L impact from derivatives. Cash interest is stable in line with Q1. Net investment is an inflow of €108 million. As announced at our full year 2020 results we are looking at all kind of financing initiatives to support our liquidity. We make no compromise regarding CapEx for our ongoing IT digitization initiatives as well as for maintenance of aircraft and hotels, but these were more than offset by the sale and leaseback of spare parts and aircraft and divestment proceeds. Also here our assumptions for the development of net investment for financial year 2021 are unchanged compared to what we stated in December. We expect an inflow of up to €250 million including divestments and PDPs. Finally, I would like to draw your attention on the free cash flow after dividends, which stood at minus €1.5 billion with Q2 cash outflow in line with Q1. The cash inflow from financing was driven by the capital increase and the WSF Silent Participation payments made include inter alia the redemption of €300 million senior notes. Moving now on to the balance sheet slide 25. The net financial position improved by €360 million quarter-on-quarter and stood at €6.8 billion at 31 of March 2021. The improvement in net debt in the second quarter predominantly reflects the positive impact from the capital increase in connection with the third support package more than offsetting the negative free cash flow after dividends and cash out for asset financing. On the right-hand side of the slide, we have included for your convenience the split of our financial liabilities with the full details on lease liabilities and liabilities to banks and we hope you find this information helpful. To conclude on this slide, I would like to give some further explanation regarding the third package. After consultation with our auditors, we can now confirm that the silent participation of the third support package SP1 of €420 million and SP2 of €671 million are classified according to IFRS as equity. The dividend due on any drawdown are calculated according to the agreed coupon rate. As at the balance sheet to-date, €420 million were drawn from SP1 and €500 million were drawn from SP2. The timing of the [Technical Difficulty]
Operator: Dear participants we lost connection to Mr. Ebel. I will get him back into the call. One moment please. [Technical Difficulty]
Sebastian Ebel: I just heard that we lost the connection. I don't know where I stopped. So I will start again on page 24, the cash flow where we see Q2 cash flow slightly improved versus Q1. 
Friedrich Joussen: Sebastian we lost you at page number 25 on the comments box so the drawing status of our facility. 
Sebastian Ebel: Okay. 
Friedrich Joussen: Yes. So you said more or less last time we have fully drawn SP1 and we have partly dropped -- drawn SP2 and then you wanted to move I think to lease liabilities and liabilities to bank on the right side, yes.
Sebastian Ebel: Yes. So slide 26 coming to the liquidity management during the quarter and our assumptions for the next quarters. Pro forma cash and available facilities as at May 7 2021 including third support package as well as the proceeds from the convertible bonds amounts to €1.7 billion. The overall monthly cash outflow in the first quarter and the month of April was within €300 million per month slightly better-than-anticipated given the ongoing travel restrictions and resulting net working capital outflow in this period. Looking ahead, our assumption for Q3 is for departure volumes in the quarter to be muted in light of continued travel restrictions. Therefore, we anticipate net cash fixed cost outflow to be again in the range of €250 million to €300 million per month. We however anticipate significant working capital inflow, once reopening of markets are confirmed and destinations are amounted in line with our planned capacity. If I look at the last 10 days, we have seen a change in the trend. Therefore, we assume the Q4 significant positive contributions from strong volumes and normalized level of operations. Overall, we remain positive and expect a significant upside on easing of restrictions. I would like to finalize my section highlighting again our achievements. We undertook the first import step towards refinancing with placement of €400 million convertible bonds two years back at the capital markets. We achieved the prolongation of our maturity profile with the completion of the 3rd support package with first maturities now due in July 22. TUI Cruises successfully placement of a five year senior bonds with a volume of €300 million at a 6.5% coupon being five times oversubscribed, demonstrates investor trust in our strategy and the prospect of the tourism and the cruise industry and the strong belief in the return to success and growth after the pandemic. We continue to be strict on CapEx and deliver on our communicated divestments for full year 2021 without making any compromise with regard to our transformation initiatives H1 net investment showing an inflow with around €108 million. Cash consumption H1 results are in line with expectations. And last but not least, as international leisure travel resumes and global markets begin to recover, it is our priority to rebuild a robust financial profile and return to a gross leverage ratio target of less than three times. We continue to explore measures to accelerate delevering and ensure the appropriate capitalization to support growth over the long-term. With this, I would like to hand back to Fritz.
Friedrich Joussen: Sebastian, thanks a lot. So you have heard that actually we see promising trends on bookings. You have seen the numbers of H1 and our actions. What I would like to share now is two things. The first one is actually what did we do in the crisis to transform the company, how do we see the company in a three to five year horizon? And the next one is some final remarks on the market demand. So turning to page number 29. This is how I see the world of transformation. This is how I see the TUI transformation into a digital platform company. And what does it mean? You have four components. The first one is trips. We traditionally like many other travel companies in the business have used booking systems of third-party developers. As booking is so instrumental and as digitalization needs so much attention and needs so much translation of business into IT, we decided a couple of years ago to do an own development in that field and we staffed up the business significantly. What we wanted to achieve is lower cost, because our cash out on trips -- on IT was big. But even more so, we wanted to do two things which you see down in the box: digital mass individualization, so the question of how can we address each and every customer of our 27 million customers individually according to our learnings what this customer -- recognition what these customers might want. Other people who are like him, what did he learn, what is actually the activity profile of that customer over time. Access. Accessible everywhere around the globe in the cloud real time, particularly in the app. As you can imagine each and every customer has now the documents in the app. So what do we do with the eyeballs when they open them? How can we cross-sell and up-sell? And what would be the right systems in order to do that? The individualization on the hotels are not marketing hotel room categories, but individual room select room and these things I talked about it. So this mass individualization is so important to us that we said this is where we put our development facilities. We will actually not adapt SAP systems. We use [Indiscernible] everything to scale. But when we want to differentiate that's actually where we want to have all our own IPR and software code. The second thing is not only mass individual. Again, the second thing is accelerate innovation and customer relevance. So we are now building the system as we speak, new software drops more or less continuously in an agile mode coming to the system. And I will talk about that in a minute. The second component is actually amusement. Amusement is actually our activity, as you know in the activities market, the activities market being the third biggest touristic market after hotels and after flights, but bigger than cruises and growing very strongly, not consolidated, not digital. So the hundred thousands of providers actually sell through the blackboard and the hotel. And we -- more or less our proposition by buying the amusement company in TUI was if you have an Internet access you can be active to 27 million customers. So consolidation upstream, meaning one million things to do. That's what we want to achieve in order to enable differentiation and also through digitalization. So this is number two. It's a growth pillar right? It's growth. We have been active in that field. But the reason for being here is actually growing the business strongly. Third is actually, the asset-right strategy to facilitate growth and to reduce capital intensity. It's definitely true for hotels as well as ships. And as you know we are offloading and decoupling let's say growth and actually using third-party equity potential in order to grow faster. If we invested every hotel, if we invested average, we would be better so. And then the fourth component is the realignment program. So €400 million savings from 2023 onwards. So these are the four components, which we -- which I have in mind when I say looking through the crisis these are the four things, which we want to do incredibly well, of course, with the final goal to get into a position to be a -- and have a balance sheet repair and be a strong company again. Now let me dwell on each of these components for a moment. Yeah, trips I talked about. One stop shop to have an own best-in-class solution, mass individualization. That's rollout in the cloud. We will not have any IT center anymore. Central system for hotel cruise, flight package, pricing and yields CRM web-front end app all of this stack is of course developed with partners it's clear. But all real-time micro-atomic in the cloud available productized. Short-term development -- short development cycles, we will not go and don't have to go to third-party software providers. We can change -- do changes on the fly. Now the good thing is we have used the crisis to take the system live and as you know in Netherlands since February 2021. So we are live. It's not a PowerPoint, it's not a dream, it's there, right? And now as I say on a continuous development, we have an MVP and now on a continuous development we are adding systems and we are adding functionality to it. And, therefore, the next versions of the software more hotel contracts, more customers, more target groups, more seasons and so on are now added to the system as we speak. And, therefore, it will grow over the coming months. And the rollout for the other markets will start end of 2021, but then based on the system it's exactly the same system. It's just in one system, which is there as an element in the cloud. So we don't need physically to deploy something. We just open it for new audiences. And by the way hundreds of millions of savings CapEx and OpEx cash out savings using the software. But as I said, more importantly closer to the customer more relevant and more digital. That is what deal means in that respect mass individualization. We treat each and every customer differently without losing scale effects, right? So let's go to Musement. Musement is on page number 31 and I have a short -- we don't start from zero. You see 170,000 experiences, 27 million guests. Turnover was €1.2 billion, more than 10 million excursions and tickets, so we transferred 31 million. So it is a scalable activity in 140 countries, right? What we do right now is actually we open the platform for third-party activities. That's what the strategy is. The things to do strategy, upstream consolidation will be and we want to be our ambition is to be the best activity marketplace, contrary to downstream consolidation. Downstream consolidation would be we shoot for big audiences. We have a native audience. We will not buy predominantly third-party audience and expensive B2C audience via Google. That's not our ambition, our ambition to consolidate to one million things to do. When you think about the platform right now, it's interesting I think on that slide that it's not only the experiences. But for example part of the platform, the platform we are building or have been building is also for example flexible enough to build dynamic activities in different destinations like a multi-day tour as you say you go -- you fly into a country. You go into a certain let's say on trip in Canada you do things in Toronto then you hop on the bus, you do things in category -- I mean, so you do things, you hop on the buses. And this compilation of dynamic to a building is complexities, which is part of the system as well. It's not marketed right now, but the system from an architectural point of view is already capable of doing that. And then maybe on the next slide, it's interesting to say, and what is actually the 2018/2019 acquisition of Musement. What has that resulted in? And you see in the middle, you'll see our app. And that actually means every customer has the documents now in the app. But when you open the app, you immediately see, even four months before you go in destination one-click away, what you can do. For our CRM systems we actually have filtered with hundred thousands of things to your relevant, set of applications, right? So it's one click a day experiences for our native reach. But at the same time, what we do is, we -- because we are not in the downstream consolidation business, we decided to open our platform to third-party customers, as well in Booking and Trivago, as you know have contracted and are using our platforms for their customers. Now, this is good, because we have additional audience. And we have additional revenues, for our audience and we consolidate the market even more. But also it's interesting, because many of these customers of booking and Trivago are not particularly sun and beach customers. They are city customers, right? So we even get the opportunity for their customers to grow in activities, in cities, where for example, our customers would not be very helpful, right? So it is actually -- as you can see, it's a full ecosystem of activities which we have been building. The technology is there. The technology is mature and everything is there. Now we of course need some customers. But at the end of the day, we are also seeing right now, good booking trends here as well. But the technology implementation and full integration of the Musement stack into the trips environment is completed, and is waiting for us. Now 34 asset right, accelerate growth, right? We refocused our business to product brand distribution and core elements that we finance through partners, management and franchise, right? Now before I go into airlines and ships, why don't we look at Blue, because Blue more or less will develop in sun and beach something like, Hilton or Hyatt is right, because that's exactly, how they, operate. They are taking third-party equity to build real-estate. Hyatt and Hilton or Steigenberger they don't have the real-estate. They have the franchise. They have a branded distribution and all of this. And in summer beach destinations, you don't have a consolidated hotel footprint. It's all family hotels or small companies. And they are lacking marketing. And they are lacking sales capabilities. And that's what we do with TUI Blue. We have more than 100 hotels that was actually the effort division, when we started two years ago or three years ago to come to 100 hotels fast to mature the system. And now we have opened it up to the internal members as TUI Blue horizon. And we will have several hundred hotels very soon, when we restart the business. And that actually gives us the opportunity to grow faster and use equity. There is enough cash available to build and operate real estate. It's not something we necessarily need to do, on our balance sheet. And cruises is the most mature, because, we integrated as Sebastian said Hapag-Lloyd before crisis and TUI Cruises and Marella is something to come as well. And new ships will be not financed on our balance sheet. They have never -- or they shouldn't be -- they have been financed in smaller ships in Hapag-Lloyd. But this is all outside our balance sheet and will stay outside our balance sheet. In the airlines, we just did deferments and reduced reduction of the order book. So we will have much less lease liabilities on the balance sheet, right? Particularly lease but also ownership, because we will just restrict the order book and the size of our fleet, because there's so much more capacity and overcapacity in the market that we don't need to invest. There is still the open issue, how exactly we will get some of the airline assets off the balance sheet that's something which we might talk about in the future, but that's something to think about. So, we right-sized the business, controlled the product and the quality and the service and the sales and so on and so on. That's the idea here. Okay. And then, we talk about the realignment program. We are now -- you see in the middle you see specific actions more than half of the €400 million are achieved right now. We are very confident to achieve €400 million or even more. Okay. And this all should turn into balance sheet repair operationally, given capital inflows and cost reduction program. We are expecting enormous demand. Finance, on the financing yes, the maturities are July 2022. We will deleverage. We will actually use M&A to do that, actions to come, but we have a pipeline. And then, of course, we have capital resolution as for the AGM to also do capital measures. But the mix is, better sooner than later, we want to return to gross leverage ratio below three. So this is actually looking through the crisis, right? We saved the cost 17% also for subsidy for our [indiscernible]. We invested very little, actually we have positive. So we didn't -- we had a net positive number investment that means we actually divested more than we invested. And at the same time so reducing the liquidity outflow keeping the business up and running for 2.6 million customers, we pushed transformation in the four components I said. Two of them started to grow so Musement and asset-right; one of them targeted to cost that is the restructuring/realignment program; and one of them to digitalization platforms globally in the cloud. So these were the major components that will help make to transform the company and make it a better company in the future. Let me focus on Page number 38 on one other point I want to make. I mean, you can be a good company, but if the market is not good then you have an issue. So it's very important to understand and have a feeling of is the market good or not after the pandemic. And before the pandemic, it's very clear 15 years even in North Europe 2% outperformed GDP growth by a factor of two. And then you think about why that was the case. I mean it was not a coincidence or a certain phase it was 15 years in a row. So why was that the case? And these are the three reasons and it's important to look at them. Tourism has taken benefit and is taking benefit by demographics. I mean, people today when they are 65 and retire they live an average almost 30 years. 30 years ago it was maybe 50. People are more healthy. They go to the gym. They don't smoke. They don't drink or drink less, right? And they have the available funds. So this is not good for assurances. This is very good for TUI AG. This was the major growth driver in the last 15 years. On top of that we see a new trend since a couple of years, which comes more from the younger people experiences in new luxury. People -- younger people want to experience something and don't own less own. They want to do a world trip instead of owning a car. They can share a car, and this is something which has built momentum in the younger group and now is extending to the older groups. So when you talk about luxury, when you talk about what you -- what makes you interesting is less what you own, it's more what you do. And this is of course very good for the tourism industry as well, right? And the last component is there is an enormous amount of stakeholders having an interest that tourism is actually prospering. And particularly in the destination tourism is the force in most, most, most countries of the world for investment for infrastructure and for cost participation and global wealth, and therefore, has an enormous interest to have tourism as a transfer of wealth mechanism, right? How do you think even Greece or Spain would look without tourism and look at Majorca without tourism after nine months even at starting people. I mean, this doesn't say anything like Cape Verde or Caribbean. I mean, this is an enormous driver and a force for good. And when you think these are the major trends mytourism [ph] was growing so strongly. Then you ask yourself what has the pandemic changed, right? And my view on this is the pandemic has changed nothing. The pandemic has pushed the pause button. So for the time people couldn't go. But when the button is unpaused the market will be there again. And the good thing is when you have a good market then you have a chance to perform. If you have the market and a structural decline, however, good you are, it will be difficult. So we have a very good market and we have taken appropriate strategic action in order to be quite successful. And with that, I would like to close on page number -- I don't know it doesn't have a page on the last one and that's a summary. Post-COVID TUI will be stronger leaner more powerful, more digital and back to growth. So this is the bubble on the right and I don't want to bore you with the boxes on the left. And with that I would like to close and actually open for Q&A. Thank you very much. 
Operator: Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] We have a first question which comes from Jamie Rollo from Morgan Stanley. Your line is open please.
Jamie Rollo: Thanks. Good morning everyone. I've got three questions please. The first is the document gives some revenue guidance, I think, is new which is for 2021 revenue to be down year-on-year when market expectations are for growth of 20%? And if your fourth quarter capacity does run at 75% of 2019 as per your plan, I think, my math is right implying the third quarter is down 70%, 75% versus 2019. Is that broadly the shape of how you see the second half revenues, or actually does the Q4 capacity plan look a bit ambitious? Secondly, just following on from that. You're talking about being profitable in the fourth quarter on that 75% capacity run rate. It would be very helpful maybe if you can give us some sensitivities on that or maybe talk about where maybe breakeven would be on a sort of revenue comparison? And then finally, you mentioned Sebastian exploring options to de-lever. I don't think there's much conditional capital headroom but quite a lot I think 48% on the authorized capital after the AGM. So, could you talk about the sort of options to de-lever and whether that's more likely to be straight equity now? And also any implications from the recent CAA review of at all in the UK that could affect the use of customer cash? Thank you.
Friedrich Joussen: Sebastian, do you want to take that?
Sebastian Ebel: Yes. Yes. I may start. Yes. As Fritz said, we think that in summer, the capacity which we are able to sell will be around 75%. We do see that this is backed by the recent development: one by bookings; and second by opportunities countries which are open. This takes into account that the Mediterranean countries Greece, Cyprus, Italy and Spain should be open. And as said, we think that this -- we can support by the recent bookings since a few weeks. Second, with this capacity, we will be in the fourth quarter in positive territories. And of course, we do see that this also means now significant inflow of working capital. As said, this has just started and we see the positive impacts here every day and even accelerating. There is no guidance. It's IAS requirement on revenues. As said, if they would materialize the 75% you can calculate the revenues with the half quarter we had given to you and it's very obvious that we will be below the full year 2019. Of course, if the market is -- are stronger, the demand is stronger, we are very quickly can ramp up the capacity and therefore, the revenues, and of course, every 10% more revenue has a significant impact. Yes, we know the discussion with the CAA, we are involved. We are asked to give our comments. We are well prepared for that. We don't see a short-term impact. The medium-term impact we have -- we are in discussions and we see a very limited impact to the situation we had before. So, it has been a very challenging and disappointing half year. April has been still disappointing, but what we do see is very quick, at least for the last 10, 15 days ramp-up of bookings with all the positive impact we can see. Central Europe, of course, is ahead. The UK was -- the first step was green light. In Portugal, we expect further green categorization in the next three weeks.
Jamie Rollo: And the equity? Hello. I was just asking, so the other part of that question was...
Sebastian Ebel: Okay. Sorry, I was on mute. We have approval for 640 million shares. And that could give the frame -- the theoretical framework we have what we can use without further authorization.
Jamie Rollo: Thank you. And the fourth quarter profit guidance? I mean can you help us understand the downside to that if you're maybe running at, say, 50% of capacity in 2019? Is that still profitable, for example?
Sebastian Ebel: I think we don't give any guidance, but we very much believe in a profitable fourth quarter even with downside. We have structured in a way that the costs are built up in accordance to the revenue intake or the bookings. So, we are -- have done everything what we could do. And we are positive. We are significantly more positive than two weeks even the CFO is positive.
Jamie Rollo: Okay. Thanks a lot.
Operator: The next question comes from James Rowland-Clarke from Barclays. Your line is open, please.
James Rowland-Clarke: Hi, everyone, and good morning. So, a few questions or three questions please. The first is summer 2022 bookings from the UK are three times higher than they might normally be at this time of the year. Could you talk a little bit about the pricing you're seeing on summer 2022 bookings? And the same question for winter 2021, 2022 bookings? And then on summer 2022 capacity I realize it's a long way away but given a limited year this year and ideally pent-up demand flowing through for next year's bookings, can you comment on sort of level of capacity versus summer 2019 that you might expect to offer? And then finally on your global realignment strategy you've got a target of €400 million cost savings by FY 2023. Would you expect to hold on to all of that if you ramp up capacity in 2022 and 2023? And if not how much of those cost savings could you hold on to? Thank you.
Sebastian Ebel: Maybe if I--
Friedrich Joussen: Sebastian maybe okay, yes, well right away. I could start where you hang maybe. 
Sebastian Ebel: Okay. I'll start. First, the realignment benefits, of course, it's a very clear objective that these are sustainable savings, so to make sure that the cost level stays where it is. And we are pretty confident that this will happen and it will happen also very quickly. The pricing quality of the summer 2022 bookings is very positive very strong pricing. Of course, it's also a mix effect, but we do see that pricing at the moment is for all seasons very strong. Capacity summer 2022, I think one what we have learned is that flexibility for us is really important that we don't commit to an extent which we may have committed pre-COVID to make sure that our breakeven level is significant lower than it had been before. This allows us to be more flexible in the capacity planning. So, to have a lower fixed capacity, but a significant higher capacity which could be built up. And I think this has been a little bit of mindset on which would help us because today, I think, there is a good reason why we could expect that there will be very strong demand next year which could mean that our capacity compared even to 2019 could be higher, but it's for us very important that the fixed capacity is limited. So, the risk is limited but we can take all chances.
Friedrich Joussen: And this -- James, I think this is possible because we will see an oversupply. I mean the biggest lever of profitability for 2022 is actually twofold. The first one is the consolidation which we have not seen in 2019, right, so which we could have seen in 2020 if the market would have been there right? We had the bookings of 17% up. You remember that in January. So, the demand will be there. And the second thing is because we will have oversupplies in the ally, right, in the markets, our reduction of order book. Just think about Germany has been usually a market with a 1% to 2% margin business. We have now half the fleet only. And we have enormous cost savings and we can play overcapacity in a huge market. So, this will be I think -- I expect that the profitability will be -- or the margins will be very good. And as Sebastian said, the -- reducing the order book and reducing the fleet in our airlines has the effect of -- that we can play the market in an overcapacity market. So, the market potentially will be prices on marginal cost, right? And the second thing is if the demand is a little bit less or volatile, we can actually scale down much faster than we could before the crisis, right? So, shrinking the airline was one of the biggest benefits on realignment, right, shrinking the airline and taking cost out of the airline and as you know, shrinking an airline in a normal environment is almost impossible. But doing it in a crisis environment it is very well possible and you see that in our fleet size which is much, much smaller. 
Sebastian Ebel: And if I may add because I would assume that the question could come. We also see very, very strong bookings for cruise for all season. It seems to be that the recovery there could be very, very quick. 
James Rowland-Clarke: Thank you very much.
Operator: Okay. Next I'll open the line for Cristian Nedelcu from UBS. Please go ahead.
Friedrich Joussen: Hi, Cristian.
Cristian Nedelcu: Hi. Thank you very much. I just have a few if I may. The first one talking about the working capital inflow you expect in Q3 and Q4. Could you maybe help us a little bit with the range? We are seeing people booking closer to the departure base. So, I guess, what expectations of cash inflow do you have there? Secondly, I think you disclosed in the H1 report that cash restricted as the rate is around €500 million. I remember back pre-COVID it used to be around €100 million. So, I guess, what is driving this higher cash restricted? And equally so, in relation to this -- on the civil aviation authority they seem to advocate pretty strongly on segregating the advanced payment either fully or partially. So could you elaborate a little bit there? Your previous answer was suggesting you're not that concerned, but could you elaborate a little bit what gives you comfort in that regard?  And, I guess, the last one that I have please, I think, you have nine deliveries of 737 MAX scheduled for this year. And you guided at the beginning of the year of €500 million increase in net debt. You also disclosed I think 11 deliveries for next year and 16 deliveries of 737 MAX for 2023. How should we think conceptually in terms of net debt? Will this further increase as these aircrafts are delivered? Thank you very much.
Sebastian Ebel: Okay. I may start with the customer deposits. If you compare half year to half year, we are at the moment €2.5 billion lower than we would have had in a normal -- 2019 is a normal year. We would have had more. So with this you can do the calculation what we can expect. Also having in mind if you look at data that in the next quarter this working capital would have -- prepayment would have been up to €5 billion. So this -- and we can discuss when that could be and what the size of the market will be, but that is the opportunity we do see. And, of course, at the moment we have for this season summer season by far more shorter-term bookings, but we also see that the bookings for the next seasons are very promising. Second the restricted cash. Yes, you are right. We had to give significant collaterals. We are working on that and we have seen that there is also opportunities to improve that further with the situation we are in now. With the CAA we are in discussions the model you mentioned is one of the models which are in discussion. You know that there is a period where we can give now our input which we will do. I had one talk. I don't see a preference to one or the other model. So we will be prepared whatever the model will be. On the airline side we have 19 air -- 19 for this year and 16 for 2022 to replace the old NG aircraft. We are as Fritz said decreasing the overall number of aircraft. And so we replace less than aircraft go out. The good -- I mean one which helps us a lot now is with the actual fuel price the business case for the MAX is very beneficial to the NG aircraft. So two effects: First we decreased the number of aircraft; second it's a very economical aircraft compared to the fleet to the aircraft we had before. 
Cristian Nedelcu: And apologies is the net debt further increasing in each of the next two years as you're doing asset finance for the incoming MAXs as it happened this year. Is my understanding correct or not? 
Sebastian Ebel: We think that we can keep it stable. That is the clear task. Maybe there is still some opportunities or optimization possible. But the working assumption is that we keep it stable. 
Cristian Nedelcu: You referred net debt at the group level but keeping it stable or just to make sure I don't misunderstand, sorry. 
Sebastian Ebel: The lease liabilities you were referring to. 
Cristian Nedelcu: The lease liabilities. Understood. Thank you very much.
Operator: We also have a question from James Ainley from Citi. Please your line is open.
James Ainley: Thank you. Good morning, everybody. Three questions from me please. Just following up on some earlier points. Firstly, what percentage of pre-COVID capacity do you think you will actually operate in the third quarter? Related to that then what percentage of your summer capacity so the 75% is now fully committed? Second question is around that restricted cash the €500 million. Can you just give a bit more color on exactly what they are? You said they are -- you had to give collaterals but what does it relate to these customer deposits that you are having to ring fence potentially? And is that cash -- restricted cash included in your €1.7 billion liquidity estimate? And then the third question is obviously there's a lot of debate about ring-fencing customer cash more broadly given that CAA review. What would be the impact -- I mean if you had to restrict all of your customer cash how would that change your thinking about your gross leverage target the less than three times gross leverage target? What's the right level of that going forward if all of your customer cash was restricted?
Sebastian Ebel: So the restricted is not included in the €1.7 billion. The leverage target we would not change. And the capacity, which we will see in the Q3, we -- on the hotel side, there is hardly anything committed. Yes, of course, we have our own assets, which we predominantly steer the volumes in. But over that, there is a lot of flexibility now built into the system to make sure that we are not hit it as we were hit before. And maybe I would like to correct the number of aircraft. I gave the wrong number, what we expect for '22, 11 aircraft and 16 for '23 which is well below what we had anticipated before.
James Ainley: Can I just follow-up on a couple of those points. So you gave -- you said hardly any of the hotels are opened, but what kind of -- what's the realistic expectation for markets and airlines operations in the third quarter? And then, I also asked, what percentage of your 75% peak summer capacity is now committed fully committed.
Sebastian Ebel: I mean on the hotel, it's not so easy to answer because you have to look at a destination by destination. If the Mediterranean countries are open, we can steer completely into our own assets, which are 30%, 40% of the overall capacity. So, this should give us not any issue. If -- of course our airline capacity, if we are significantly below what can be expected, of course, we will not utilize fully our fleet. So that's why the third quarter will be still a very challenging quarter. On the fourth quarter, there is a lot of flexibility built in because first we use our own aircraft and we will use our own hotel facilities. So we -- there we would be prepared even for a significant drop of the volume, which we definitely not expect.
James Ainley: Okay. Thank you.
Operator: The next question comes from Mark Fortescue from Stifel. Please, your line is open.
Mark Fortescue: Good morning. My questions have been answered actually. But while I'm on, I might just ask the customer deposits question, a different way, if I could. Can you say roughly what percentage of customer cash you ring-fence now, whether or not, it's formal in trust accounts or just separated internally? And what percentage of customer cash does contribute towards working capital needs? Thank you.
Sebastian Ebel: We don't ring-fence anything.
Mark Fortescue: Thank you.
Operator: The next question comes from Ali Naqvi from HSBC. Please go ahead.
Ali Naqvi: Hi, good morning. Thanks for taking the questions. Just on your refinancing and extending your maturities beyond 2022, will you require capital increase to do any of that? And similarly, will you have to do any sort of capital increase to extend the covenant waves gain in September? And my second question is, you've guided to 75% capacity the balance of the year. And you say that of the list of countries that are -- have low interest rates 60% of that is covered of the 75%. What would the cash impact be if you couldn't actually fill that remaining 15%?
Sebastian Ebel: The first question, as we said we have the approvals of our AGM that gives us the opportunities and depending on our situation on the market conditions, we will take the relevant actions. And I think, it's very clear that we ask for approvals because, we think it could be right to use these approvals. And the 60% of the capacity could be still in positive territories.
Ali Naqvi: Thank you.
Operator: There are no further questions. Handing back to Mr. Ebel and Mr. Joussen.
Friedrich Joussen: Thanks a lot. I think the -- thanks a lot for participating. I think, what you see and you should be staying tuned, I mean week-over-week over week. We see no improvements. And this is actually early enough for us to have a decent time. I said everything from commencing July, mid of July is big. Everything before is actually relatively small. So it's important that we catch the base. And I see in all countries very promising signs. And I assume that in light of the vaccination levels and incidence levels that actually also the UK will be opening. But it is a big market. And all of this is still done without Turkey. I want to emphasize once more, 60% of our destinations are in -- with very good incidence rates and vaccination rates. These markets and these destinations, if Turkey and others don't open will be very full. And therefore, I think very healthy margins and some scarcity of supply, which will be very helpful. So thank you very much for listening in. And I think, we see right now good developments. Have a great day.
Sebastian Ebel: Thanks.